Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Alarum Technologies Conference Call for the Second Quarter 2025. [Operator Instructions] This conference call is being recorded. I will now turn the call over to Kenny Green, Investor Relations at Alarum. Kenny, please go ahead.
Unidentified Company Representative: Thank you. Good day to all of you, and welcome to Alarum's conference call to discuss the results of the second quarter of 2025. I would like to thank management for hosting this call. Today, we are joined by Shachar Daniel, Alarum's CEO; and Shai Avnit, CFO. Shachar will begin the call with an overview of the quarter, followed by Shai, who will review key elements of the financials. Finally, we will open the call to our listeners for the question-and-answer session. Before we get started, I want to highlight the forward-looking statements disclaimer. This conference call may contain, in addition to historical information, forward-looking statements within the meaning of the safe harbor provisions of the Private Securities Litigation Reform Act of 1995 and other federal securities laws. Forward-looking statements include statements about plans, objectives, goals, strategies, future events or performance and underlying assumptions and other statements that are different than historical facts. For example, when we discuss our guidance, our future strategy and longer-term vision, our potential for continued sustainable future growth and value creation, sustainable growth, estimated margins and long-term profitability, the potential of long-term collaborations, events in the AI landscape, demand for and expansion of our products and services and customer base, future opportunities, momentum and success we are using forward-looking statements. These forward-looking statements are based on current management expectations and are subject to risks and uncertainties that may result in expectations not being realized and may cause actual outcomes differ materially from expectations reflected in these forward- looking statements. Potential risks and uncertainties include those discussed under the heading Risk Factors in Alarum's Annual Reports on Form 20-F filed with the Securities and Exchange Commission on March 20, 2025, and in any subsequent filings with the SEC. All such forward-looking statements, whether written or oral, made on behalf of the company are expressly qualified by those cautionary statements and such forward-looking statements are subject to risks and uncertainties, and we caution you not to place undue reliance on these. On call, the company will also present non-IFRS key business metrics. Non-IFRS key business metrics the company uses our EBITDA, adjusted EBITDA, non-IFRS gross margin, non-IFRS net profit or loss, non-IFRS basic earnings or loss per share or ADS. The exact definitions and reconciliations of these non-IFRS key business metrics are described in the company's financial results press release, which are available on the Investors lobby of Alarum's website. These non-IFRS measures may differ materially from the similarly titled measures used by other companies and should not be considered in isolation from or as a substitute for financial information prepared in accordance with IFRS. And now I will turn the call over to Shachar Daniel, Alarum Technology's Chief Executive Officer. Shachar, please go ahead.
Shachar Daniel: Thank you very much, Kenny. Good morning, everyone, and thank you for joining us today to discuss our results and recent business developments. To highlight our financial results, we reported second quarter revenue of $8.8 million, net profit was $0.3 million and adjusted EBITDA of $1 million. Our results were well ahead of the expectations, which we announced with quarter 1 results and in line with the upgraded guidance we issued in early June. I will start with AI market drivers. The key market driver for our strong performance is the huge sales from massive amounts of training data for foundational AI models. The recent trend for Alarum in particular, is that our customers are increasingly including some major companies, both AI players and e-commerce companies and the associated deal size potential for this type of customers are much larger as well. We now have customers ranging from major tech giants to emerging start-ups as well as the small customers that we have traditionally worked with. As data is becoming significantly more valuable in today's world, these customers and potential customers are turning to us to help them overcome the growing barriers to data access from compliance to geographical distribution and traffic unblocking. We have recently launched new projects with several large-scale AI and e-commerce platforms including one of the world's largest online marketplace in Asia. This particular customer has launched a very large data collection project with us for a new advanced generative AI model under development that may continue over the coming few months. While a lower margin compared to our margins in the past year and while revenues are not yet guaranteed and are consumption base, potentially if we generate them, they are expected to be significant for Alarum over the coming months. These collaborations and others, we have recently launched cover use cases such as large-scale data collection labeling as well as collection from model fine- tuning with fresh and accurate public data. As their evolution reshapes every industry, our offerings from our flagship Data Collector and Website Unblocker to a highly robust and expanding proxy network are quickly becoming foundational to how companies collect public web data. Our products enable our customers to acquire a massive amount of data, the key fuel to the AI boom. The market first for reliable, scalable and correct data is broadening massively and accelerating among more and more players as more models are launched or upgraded. Models must be trained, retrained and fine-tuned daily with new data consistently. And to do that, they need in structure like ours to collect it -- infrastructure like ours to collect it. The opportunities that we have ahead of us with data having become the most valuable commodity on the planet is the once-in-a-generation opportunity. Alarum is positioned [indiscernible], all the current data capture trends, and we are aiming to invest and pursue as many of the opportunities ahead that we reasonably can. We have already started and will continue to invest strongly in our infrastructure to support the significant new demand as well as in our ability to meet the extensive needs of major customers. The investment in our IP proxy infrastructure enable us to support more throughput and serve more of the native demand with fast ROI. As I mentioned, the work we are doing with the major customers is being done at lower gross profit margins because the revenue and long-term potential is so high. In addition, the overall investment in expanding our proxy network increased the cost of sales, but it also has the long-term benefit of optimizing our network infrastructure and product delivery. Therefore, by design, we are currently showing lower margins. Over the short, mid and long term, our investments will allow us to serve more and more customers and importantly, meet the needs of the major AI players, all of which are investing hundreds of millions of dollars on each model they launch. We want to make sure we are well positioned to capture an increasing portion of that growing pie. We are also growing our high-quality talent pool and developing a cooperative site of data collection products designed for the AI era. This is through our R&D investments to expand our capabilities and broaden our product portfolio. The goal is not only to attract new customers, but also be able to cross-sell to existing customers and meet more of our customers' data needs under one roof. While I hope I've been able to share my vision for capturing the opportunity ahead of us, I do want to highlight that it is not likely to be a straight path up, especially over short periods. It is very early days, and the market we are operating is still in its infancy and taking shape. It is highly dynamic and unpredictable. And given our major customers cannot articulate their needs more than a few short months ahead. They may be powered by major customers as they derisk the data, stabilize models or adjust strategies, which may have outsized impact. Volatility is high, and we are planning accordingly. I urge investors to judge our development over periods of many quarters, not quarter-by-quarter. Alarum is ultimately focus on playing the long game. We are building the business not just to meet today's and tomorrow's massive short-term needs, but also over the mid- to long term to become the destination for any company, where major players, start-up or small business with significant data collection needs. In summary, with focused execution, a forward-thinking innovative approach and growing interest from AI-driven customers, our goal is not just to participate in AI revolution, but to become one of the central companies spreading it. As I've already shared with you, given the tremendous opportunity we see ahead, we have made a strategic decision to increase our investment by leveraging our profitable operation and reinvest earnings back into the company. We are investing in innovation, in infrastructure, and growing our customer base and in deepening collaboration with some of the world's largest and most influential companies. While the goal is to remain profitable overall, we may sacrifice short-term profitability for what we believe will be massive long-term revenue and much higher profit stretching over longer periods. At the same time, we remain focused on efficiency and disciplined execution with backing from our strong balance sheet with cash and liquid investments of approximately $25 million. Alarum stand in the perfect position to benefit from everything going on today in the AI market, and we look forward to cementing our position at the very core of this market. Handing it over to you now, Shai.
Shai Avnit: Thank you, Shachar, and hello, everyone. I will start by reviewing our key financial results for the second quarter of 2025, comparing them to the same period last year, unless otherwise stated. Following that, I will provide our guidance for the third quarter of 2025. Detailed definitions and reconciliations of our non-IFRS key business metrics can be found in our Q2 2025 financial results press release. And one final note before I begin, the figures I will be discussing are rounded for clarity and ease of reference. Turning now to our financial performance. Ahead of original guidance issued following last quarter results and in line with the increased guidance in June, revenues in the second quarter of 2025 reached $8.8 million. This compared to $8.9 million in the second quarter of 2024. The slight reduction in overall revenues is due to the different mix of customers we have in 2025, having seen the AI segment grow significantly and mostly replacing customers from other segments. As a result of the shift, the net retention rate NRR was 0.98. As Shachar mentioned, we made the strategic decision to reinvest earnings into scaling operations, expanding infrastructure and broadening our IP proxy network, positioning Alarum to capture long-term value and meet the demand, particularly from major AI- driven customers. During this phase of transition, we continue to be dedicated to managing our operations efficiently while ensuring we progress towards long-term goals. As a result of this move, our non-IFRS gross margin for the second quarter of 2025 was 63% compared to 78% in the second quarter of 2024. In the third quarter, we have started working with a highly strategic customer, which is expected to increase our revenues by approximately $3 million per quarter. However, as mentioned in our press release, we will see low profitability margins in the early stages of our work with these customers. And as such, we expect a further decline in our gross margins in the third quarter. Operating expenses in the second quarter of 2025 were $5.4 million, compared to $4.2 million in the second quarter of 2024. The increase was driven mainly by the increase in employee salary-related costs, particularly in R&D, primarily as we diligently grow the team to accelerate product development. As Shachar mentioned, we expect to continue to increase investment in our capabilities, especially R&D to meet the opportunities ahead. In the second quarter of 2025, we recorded a financial income of $400,000 compared to an expense of $2.5 million in the same period last year. The shift to financial income was mainly driven by interest income we generated from our cash in 2025, while in 2024, we recorded high expense due to the fair value increase of warrants issued in 2019 and 2020, an increase that was reversed in the second half of 2024, when the warrant value decreased. These warrants, which are out of the money, will expire within a month, eliminating any future impact of this item. Non-IFRS net profit was $0.3 million for the second quarter of 2025, compared to a net loss of $0.4 million in the second quarter of 2024. Adjusted EBITDA in the second quarter of 2025 was $1 million compared to $3.4 million in the second quarter of 2024. Our share count is 70.9 million ordinary shares or 7.1 million U.S. listed ADSs. On a fully diluted basis, the count is 80.9 million ordinary shares or 8.1 million ADS. The second quarter of 2025 basic and diluted earnings per share were $0.04 per ADS on a non-IFRS basis, compared to a loss of $0.05 in the second quarter of 2024. As of June 30, 2025, the company's shareholders' equity increased to a record of $29.1 million, up from $26.4 million on December 31, 2024. The company's cash, cash equivalents and long-term investment balance, including accrued interest at June 30, 2024 -- sorry, June 20, 2025, was $25 million compared with the same amount as at the end of 2024 as our positive pretax cash flow was offset with a onetime $1.7 million tax payment in January 2025 on behalf of 2024 NetNut's taxable income. Alarum's continued solid cash balance ensures we can invest strategically while maintaining a focus on sustainable value creation. Moving on to our outlook for the third quarter of 2025. Our guidance considers what we see today based on customer orders and backlog and is of today. We anticipate that in the third quarter of 2025, revenue will range at $12.8 million with an up and down range of 7%, representing around a 78% year-over-year increase. The third quarter of 2025 adjusted EBITDA is expected to be around $1.1 million with a range of plus/minus $0.5 million. Our guidance includes the initial impact of the new large-scale AI data project, which is expected to contribute approximately $3 million of revenues during the third quarter. As we are still in the early ramp-up stages, it is currently not clear what the full scope and length of the project will be. As I mentioned earlier, as we are at the initiation stages of this project, we are actively optimizing infrastructure and cost structure and expect near-term profitability from this project to be limited, which impacts our overall profitability in the third quarter. To summarize, 2025 continues with strong momentum, a solid balance sheet and growing market interest. We remain focused on our commitment to generating long-term sustainable value for our stakeholders. With that, we open the call to the question-and-answer session. Operator?
Operator: [Operator Instructions] The first question today is coming from Brian Kinstlinger of Alliance Global Partners.
Brian David Kinstlinger: I just want to dig a little bit into that large customer ramp, in the third quarter you're highlighting. I missed part of your prepared remarks. So I'm a bit confused on why it's not generating incremental EBITDA and the gross margin will be low. Is it a paid proof of concept? Is there major discounts? And if this service does continue, I understood that you are unsure the time or the length. Will the pricing dynamics or economics change that you would be able to generate more traditional margin contribution?
Shachar Daniel: Okay, Brian. So basically, there are a few factors for this -- at this point of time for this lower margins, lower margin than our, let's say, standard or till today customers or projects. First of all, it's a new product. It's a combination of few products, but mostly it's data sets. The project is in huge scale. And as we mentioned the demand for this project was in a very short time. So we are now shaping the infrastructure costs for this huge scale data demand. And this is -- I think yes, this is the most -- let's say, this is the biggest differentiation from different products or different projects that we have due to the fact that the COGS basically, which is mostly the infrastructure of this project is, for this point of time, is much more expensive. And due to this, the margins are lower.
Brian David Kinstlinger: Okay. So first of all, is that infrastructure technology or people? And then the second question to that is...
Shachar Daniel: Technology.
Brian David Kinstlinger: Sorry?
Shachar Daniel: It's technology infrastructure, servers and all related.
Brian David Kinstlinger: Yes. Right. Now assuming the -- so in order for the margin to recover, you'll have to have significant volume increases from $3 million a quarter for this product, not necessarily this customer to help the margin recover. Is that accurate or no?
Shachar Daniel: Can you rephrase the question? What do you mean...
Brian David Kinstlinger: Well, it sounds like you're adding $3 million of revenue, but it's not driving profit right now at all. I mean you're incremental from the second quarter. So I'm assuming in order to drive incremental profit, you'll have to have significantly more volume to offset the COGS. Is that right?
Shachar Daniel: Yes. So it depends. I would say it again, as we just started the project, hopefully, I hope, yes, we are doing our efforts, and that's what we did also in the past because then it was not so clear in our financials. But every time we're starting a new product or a new -- or launching a new, let's say, product in scale, so we are shaping the cost, the cost structure of the product, especially the infrastructure and the network cost. So one aspect that we will improve our cost structure and our infrastructure cost in this project. Second, yes, if it's -- let's say, if the structure will be, let's say, the same of the revenues in the next quarter and this project will be in the same portion. So we will need to -- basically to recover by adding more projects to our customers with our standard gross margins. But one more thing that is very important, Brian, is the fact that this kind of, let's call it, project or kind of business line in our customer, it's not the only product that is buying from us. And we see it as a very strategic penetration. We see it as a way to get some cross-sells and up-sells over the time, not only for this products, for our different projects. By the way, this customer is buying from us mostly all of our products. And it is totally strategic for us, so we are not measuring it only for a numbers, EBITDA profitability, et cetera.
Brian David Kinstlinger: Great. Two more questions. The first one is, what is the product? And how is it different than the products you have right now?
Shachar Daniel: Well, you mean this product compare to our other products?
Brian David Kinstlinger: You're saying this is a different product and you're hiring R&D to develop a new infrastructure for this product. Is it something different and it's a cross-selling opportunities. So can you describe what it is?
Shachar Daniel: Yes, the scale, the amount of the data, the volume, the bandwidth, okay? It's bandwidth that is something unbelievable, it's a huge amount of bandwidth. And due to this, the cost of the network, the servers, the cloud computing is at this stage, we are reshaping it. We already improve it all the time. This is the major difference from our products that you saw till today.
Brian David Kinstlinger: Okay. The last question is, outside of this customer, can you talk about the broader customer base? Is their usage generally going to be increasing compared to the first half of the year? And then maybe speak to the pipeline of new logos?
Shachar Daniel: Okay. So as you see the results of this quarter comparing to the previous one. And as you see, the projection of the next quarter, you see that besides of this specific, let's call it, up-sell because it's from a current customer, you see that we are growing even significantly. We see, as we mentioned now in the call before as we move to the question part, we see a huge trend of AI and data needs -- sorry, data needs from AI or intelligence, let's call it, intelligence customers, it's not the AI, but all related to data insights in order to train their own model or in order to provide data insights for their customers. And many new logos are coming in. The pipeline is -- basically it's a period that is very good for this industry. We are trying to meet all the demand, not only from infrastructure and scalability. And that's why we invest a lot in our network and infrastructure, but also from the features and the sub product that our customers asking from us all the time. We see that there is a huge demand for new products, for new features. We are trying to hunt and to meet this demand by recruiting talent and new R&D employees, and that's the current situation.
Operator: The next question is coming from Kingsley Crane of Canaccord Genuity.
William Kingsley Crane: Huge congrats on these results and the traction you're seeing. It's definitely a big moment for the company. I want to start just bigger picture, it sounds like there's been a changing of the guard a bit in the customer base, and that's kind of why we're seeing that lower NRR this quarter. But I mean, in your opinion, do you think that this could eventually result in higher customer lifetime value, more stability on a quarter-to-quarter basis? I realize that we're going to see surges, it's not going to be linear, but just curious about that.
Shachar Daniel: Okay. Great question. I'll elaborate. So the way we measure our NRR is basically we are measuring 4 quarters comparing to the 4 quarters before, 4 times. So for example, this quarter, the first measures started in the third quarter of 2023. And then you have 4 measures and the average between them. Now we are using this method because we thought that we still think that it's big data. It will not be volatile, if one quarter is doing a little bit different for here or there or whatever. And that's why we chose this way of calculation. But to be honest, now it's a period that it might be a little bit -- let's say, a little bit misleading because we saw a huge trend in the last, let's say, 1 year or 1.5 years of -- from one side, some sectors and verticals lower significantly their presence in our -- for our product, meaning lower the demand due to some changes in their verticals. And from the other side, the new AI trend and AI companies and big companies came in. So if we are not publishing it because we have one method. But to say here, if you are measuring, for example, the NRR quarter-over-quarter from Q1 to Q2 and then to the projected Q3, you will see a significant growth from current customers, significant growth, okay, a number that is very good. So as if -- hopefully, we hope and expect that this trend -- these customers are here to stay because it's a different game than our -- than the previous trends because everybody knows and things that the AI and the need for that is here to stay, maybe forever. So as time will run and we will -- the past periods, for example, because every quarter, we are taking one measure for this quarter, and then we are dropping the first one. So at the time will run, you will start to see the impact of this retention and lifetime value of our customers over the last 1 year, and it will a little bit -- not a little bit, but -- and the past will be behind us. For this point of time, it still measures mostly the past. So the weight in the average because it's a plain vanilla average, it's still taking the average or taking the NRR for this direction. I hope it was clear.
William Kingsley Crane: Right. It makes perfect sense on the metric, and I think understood on the structural trends as a whole. So just to touch a bit on this customer. You mentioned it was an existing customer in the release. Has this been a long-standing customer? How impactful were they to Q2 results?
Shachar Daniel: This customer, how impactful it was in the Q2?
William Kingsley Crane: Yes. Basically, are they ramping up from nothing, and maybe you wanted to not be specific, I guess.
Shachar Daniel: No, no, not from nothing. We started with them few months ago, 1.5 quarters. It started much before because it's a long engagement and negotiation and proof of concept, et cetera. We were chosen by them, and it started a ramp up slowly, slowly. So in this quarter, in the second quarter, it's already, let's say, it's not the biggest customer, but it has a very respectful amount of revenues. And now it jumped significantly, not exponentially, but it's a current customer that is using our -- more than one product. It's using ours scraper, it's using our IP proxy and a few departments, and we are scaling that into the customer with more and more departments. This project is something that you know it's extraordinary, yes.
William Kingsley Crane: Right. And so with respect to the expected contribution because I think guidance in general, we still sort of -- we're still a little bit fresh on that. So just how much visibility do we have into that $3 million as it is today? Like how much is actually committed so far? And then how variable could that spend be specifically in Q3? I realize Q4 and longer is another story.
Shachar Daniel: No, Q3, we know, yes, we published the projection. You are meaning, you want to know about the Q4, yes?
William Kingsley Crane: Well, I guess what I just mean is the range that, that $3 million could be within Q3? Like how certain are we of that range? Or is it committed spend? Or what kind of clarity do we have on that?
Shachar Daniel: Yes, 2/3 of the quarter was already behind us, because we're in the end of August, yes? So regarding the last month of the quarter, which is September, we have a level of confidence and trust as a projection for the next month. Regarding the next quarter or specifically the future, let's say, the short term, I want to emphasize something that is very important. We chose to talk specifically about this specific project at our current customer due to the fact that this -- it's a significant -- it's a material amount, but not only because of this, mainly because of the margins of these projects and their impact on the all margins -- gross margins of the company. But from other aspects like how much it's predictable, what will be the duration of this demand, it's not different than other projects product customers. It's in the same level, meaning in high levels, we see a huge demand that is coming. We are increasing the variety of our customers and the variety of our products, which supposed to make more and more sustainable from the other side, which is great for us at this stage, as you see this incredible growth. But on the other side, this market, as I mentioned, a few times, not only in this call, this market is in the middle of a revolution, and it's a crazy market, and it can go here and there. Everybody are now shaping their business models, learning their needs, trying to understand what will be the direction of their LLM, if and when it will be profitable, how they can monetize it because -- I know it because we are joining in part of this discussion as a major part of this chain. So it's not something that you can say, okay, I understand the business. I understand how much data it needs, I understand its consumption size. And according to this, I can project my numbers and my volumes for the future. So this is the current situation. And of course, as time will run, we learn more and more. At this point of time, it plays for us and the need is growing. But mark to be very clear, it's not so predictable, it's quite volatile. And hopefully, we will say, it's sustainable, but this is the reality.
William Kingsley Crane: That makes perfect sense. And so last one, just -- we've sort of addressed this, but I'm trying to establish a range of outcomes on the gross margin side. Should we expect that additional revenue in Q4 and Q1 would also come at a similar -- like component gross margin as to this large project? Or maybe on the other side, should we expect that in Q4 already we're going to see gross margin improve once again as you optimize.
Shachar Daniel: Okay. So in case -- let's say, in case the growth or the retention or the numbers, the revenues, let's say, in Q4 will be mostly or all of them from our current business -- our current products, current business models, current customers, new customers that are basically asking the same. So this -- our current COGS can support more clients, more demand in their current numbers. In case something new will come, tomorrow morning, something new will come in the same numbers, even in higher numbers in lower numbers. And then it will take again the COGS and the gross margins here or there. So in general, it's something that is not kind of business standard will not come in, so we expect, hopefully, to see the gross margin in a good place organic growth. One more thing that is also very important things, and I want to emphasize also. I'm talking about it for more than a year, and it comes to reality now. We see the demand and we see the -- as we look to the future and now the demand in general, in our industry is going to be higher even significantly. And we are in a very competitive landscape. So we want to leverage our profitable operation. We want to leverage our know-how, and we are trying to invest and to increase our network, increase and strengthen our servers, our cloud computing capabilities, our endpoints in order to meet demand that we can knock on our door tomorrow morning. We think that at this stage, we are in the middle of this amazing revolution. And basically, if you will brand yourself, or basically, you will add yourself as a natural part of this chain with these huge customers and this huge industry in the future, you can bear amazing fruits from it. So we are trying to push as much as we can. Of course, we have our limits. We are trying to be efficient. We will not push it without limitations. But we think that at this stage, the opportunity is amazing and we cannot lose it.
Operator: At this time, I would like to turn the floor back over to Mr. Daniel for closing comments.
Shachar Daniel: Okay, everybody. So thanks a lot for your time today. We look forward to hosting you again on Alarum Technologies' next results call. Thank you very much.
Operator: Ladies and gentlemen, this concludes today's event. You may disconnect your lines or log off the webcast at this time, and enjoy the rest of your day.